Operator: Good morning. My name is Christie, and I will be your conference operator. At this time, I would like to welcome everyone to ADP's First Quarter Fiscal 2013 Earnings Webcast. I would like to inform you that this conference is being recorded. [Operator Instructions] After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now turn the conference over to Ms. Elena Charles, Vice President, Investor Relations. Please go ahead.
Elena Charles: Thank you. I am here today with Carlos Rodriguez, ADP's President and Chief Executive Officer; and Chris Reidy, ADP's Chief Financial Officer. Thank you for joining us for our first quarter fiscal 2013 earnings call and webcast. Our slide presentation for today's call and webcast is available for you to print from the Investor Relations homepage of our website at adp.com. As a reminder, the quarterly history of revenue and pretax earnings for our reportable segments have also been posted to the Investor Relations section of our website. These schedules have been updated to include the first quarter of fiscal 2013, and all prior periods have been updated to reflect fiscal 2013 budgeted foreign exchange rate and the impact of discontinued operations. During today's conference call, we will make some forward-looking statements that refer to future events and as such, involve some risks. And these are discussed on Page 2 of the slide presentation and in our periodic filings with the SEC. With that, I'll now turn the call over to Carlos for his opening remarks.
Carlos A. Rodriguez: Thank you, Elena. Good morning, and thank you for joining us. For those of you joining who have been impacted by Hurricane Sandy, our thoughts are with you and we extend our best wishes for a speedy recovery. ADP's headquarters and many of our other operations were in the path of the storm. I'm proud to say that when I visited 4 of our major facilities in New Jersey on both Monday and Tuesday of this week, all were operational, running on emergency generator power and with committed and dedicated associates who continued to make good on our obligations to our clients and our employees. As all of you know, ADP pays 23 million people in the U.S. and 34 million people worldwide. And while the safety and security of our associates is our #1 priority, the last 3 days were another example of ADP's commitment to deliver. While there are obviously areas where courier deliveries are not yet possible, our associates worldwide are supporting each other, going above and beyond to make sure our clients and our employees don't have yet another challenge during difficult moments. [Technical Difficulty]
Carlos A. Rodriguez: All right. Thanks for joining us again. As you can tell, we're still having some challenges with Hurricane Sandy. Apparently, our webcast is not functioning, but we are going to go ahead with the call since we have over 50 people on the call waiting for us. And then we will provide a recording of the call, as well as the slides that were in the webcast at a future date. I'm going to go through my opening comments again, and then we'll continue with the call. Thanks for your patience. So as I was saying, for those of you joining who have been impacted by Hurricane Sandy, our thoughts are with you, and we extend our best wishes for a speedy recovery. ADP's headquarters and many of our other operations were in the path of the storm. I'm proud to say that when I visited 4 of our major facilities in New Jersey on both Monday and Tuesday this week, all were operational, running on emergency generator power and with committed and dedicated associates who continued to make good on our obligations to our clients and our employees. As all of you know, ADP pays 23 million people in the U.S. and 34 million worldwide. And while the safety and security of our associates is our #1 priority, the last 3 days were another example of ADP's commitment to deliver. While there are obviously areas where courier deliveries are not yet possible, our associates worldwide are supporting each other and going above and beyond to make sure our clients and our employees don't have yet another challenge during difficult moments. Before we get started on the earnings discussion for the first quarter, I want to discuss the CFO transition we announced earlier this morning. As you read in the press release, we announced that Jan Siegmund is transitioning to the CFO role as Chris Reidy will be leaving ADP. As Elena just said, Chris is here with me today to discuss our first quarter earnings, and I want to take this opportunity to thank Chris for his many contributions over the 6 years he spent at ADP. Chris and Jan will work together over the next few weeks to ensure an orderly transition. Jan will be joining our second quarter earnings call on February 5, though our plans are to have Jan meet many of you over the next several weeks before the next quarterly earnings call. Jan's background is in the press release, so I'm not going to go through all of that, but I want you to understand why Jan has been selected for this key role. As Head of Strategy at ADP for 8 years now, Jan has been instrumental in developing the strategy for ADP's evolution from a payroll-centric company to a leading provider of a broad and diverse human capital management solutions. Jan's tenure and experience at ADP are enormous positives for ADP as we move forward to leverage the many opportunities ahead of us. So I hope you will all join me in wishing Chris well and in welcoming Jan to the CFO role. Now let's turn to the first quarter results. After my opening remarks about the first quarter, I'll turn the call over to Chris who will take you through the highlights of the quarter. After which, I'll return to provide you with an update on our fiscal year 2013 forecast. And before we take your questions, I'll provide some concluding remarks. Now let's turn to Slide 4. As you read in this morning's press release, ADP reported good results for fiscal 2013's first quarter. Total revenue growth of 5%, 3% organic, and 2% earnings per share growth from continuing operations were in line with the expectations we outlined for you back in August. I'm very pleased with the performance of our business segments during the quarter despite the negative impact on overall ADP results from several items that we communicated to you back in August, which you read in this morning's press release. Once again, I'm particularly pleased with our sales execution and sales productivity in our Employer Services and PEO Services during the quarter, which resulted in 15% growth in worldwide new business sales in the quarter. Sales were good across our core offerings in the U.S., which include RUN, Workforce Now and Vantage. Across our major market segments in the U.S., small business services and national account services sales were strong, with double-digit increases over the prior period -- over the prior year. We recently released our latest version of Workforce Now, which delivers a robust new user interface and provides a consistent look and feel across all roles and modules. This new version of Workforce Now is also offered in Canada, and we are quite pleased with the positive early market acceptance in that region. I'm pleased that sales of our GlobalView solution for multinational companies were strong in the quarter as well. In our Employer Services international organization, sales of our best-of-breed solutions across Europe were somewhat mixed given the economic weakness in certain of these markets. We saw strength in our other geographies, however, particularly in Canada, Brazil and Australia. And now moving from sales to our other key business metrics. Client balances continued to grow, and the number of employees on our clients' payrolls as measured by same-store pays per control also increased. As we indicated back in August, client revenue retention declined 40 basis points during the quarter. It's important to note that retention is near historically high levels, and this makes it difficult to improve on a quarterly basis. Although retention declined this quarter, we do expect year-over-year improvement in client retention on a full year basis. Moving on to Dealer Services. Automotive sales in North America were solid. However, the weak economic landscape across Europe resulted in lower car sales, though the Asian markets where Dealer Services participates are doing quite well. Dealer Services continued to execute well on a share of wallet strategy with strength in digital marketing. Transaction volumes, sales growth and our win-loss rate continue to be positive in Dealer, and I'm pleased with the improvement in worldwide revenue retention and market share gains. With that, I'll turn it over to Chris to provide the financial highlights and a look at this year's forecast for our client funds investment strategy.
Christopher R. Reidy: Thanks, Carlos, and good morning, everyone. I'm going to be on Slide 5 when you can see it. Total revenues grew 5% for the quarter to $2.6 billion. Organic growth was 3%, and acquisitions contributed 2 points of growth. As anticipated, unfavorable foreign exchange rates during the quarter negatively impacted revenues 2%. As we indicated when we provided our initial forecast in August, lower client fund interest revenues due to low market interest rates negatively impacted revenues 1%. Revenues were also negatively impacted an additional 1% from loss revenues related to last year's second quarter sale of assets and the expiration of certain employment tax credits in our Tax Credit Service business. Pretax earnings increased 2%, and ADP's pretax margin declined 50 basis points. As there were several items that negatively impacted ADP's revenue growth, many of these items negatively impacted pretax earnings and margin growth. Fiscal 2012 acquisitions did not have a meaningful impact on pretax earnings, but negatively impacted ADP's pretax margin 40 basis points. The client funds extended investment strategy, which is driven primarily by interest on client funds, negatively impacted pretax earnings growth 4% and pretax margin 100 basis points. The impact from last year's sale of assets and expiration of certain employment tax credits negatively impacted pretax earnings growth 4% and pretax margins 50 basis points. Moving next to net earnings. We reported a 1% increase on a higher effective tax rate. Diluted earnings per share increased 2% and benefited from fewer shares outstanding compared to last year. The negative impacts from the decline in client interest and the grow-over from last year's second quarter items also created significant pressure on net earnings and diluted earnings per share. So the point I'm making is that when you peel back and remove the impact of these items, ADP's businesses are delivering very good revenue, earnings and pretax margin improvement. We repurchased 3.7 million ADP shares fiscal year-to-date for a total cost of $215 million. We ended the quarter with cash and marketable securities of $1.2 billion, excluding the assets related to our reverse repurchase borrowing related to our extended investment strategy for the client funds portfolio. Let's move on to Slide 6 and the business segment results. As I've stated, we are pleased with the performance of our business segments. Employer Services grew total revenues 6%; and PEO grew 13%, driven by 11% growth in the number of average worksite employees; and Dealer grew 9%. On an organic basis, Employer Services grew 5%, PEO 13% growth was all organic and Dealer Services grew 7%. Worldwide new business sales from Employer Services and PEO Services were particularly strong in the quarter, with 15% growth. Carlos took you through the sales details a few moments ago, so I'll move on to discuss the revenue growth drivers in Employer Services. Of the items we called out that impacted total company results in the quarter, the foregone revenues related to last year's second quarter sale of assets and the expiration of certain tax credits negatively impacted our Employer Services segment revenue growth nearly 2 percentage points. Good growth from RUN and insurance services were the primary drivers of our healthy growth in the small business marketplace. In the mid-market, revenues from our Workforce Now solution are growing nicely, as our HR services and comprehensive services revenues. Across the mid-market and large company market, we are pleased with the revenue growth from our Time & Labor Management solutions. And at the high end of the market, we are pleased with Vantage sales, but the contribution to revenue growth is still small at this point. Revenue growth in the quarter from our best-of-breed solutions across Europe and for multinational solutions was also solid in the quarter. Same-store pays per control in Employer Services in the U.S. was strong, with an increase of 3.3%. However, same-store pays per control across Europe declined during the quarter, in line with our expectations. And as Carlos mentioned, client revenue retention declined 40 basis points in the quarter. Average client fund balances increased 6% for the quarter. Solid new client growth continued, especially in small business services, and increased pays per control contributed positive balance growth. Now let's turn to Slide 7, and I'll take you through the forecast on the client funds investment strategy in support of the overall ADP forecast that Carlos would take you through in a few moments. Before I get into the details of the forecast, I'll point out that the objective of our investment strategy remains safety, liquidity and diversification. Fully consistent with these objectives, we were again able to take advantage of the supply of new investment-grade corporate fixed income securities in the first quarter and added more highly-rated corporate bonds to our portfolio. At September 30, approximately 84% of our fixed income portfolio was invested in AAA- and AA-rated securities. We continue to base the interest assumptions in our forecast on Fed Funds futures contracts and the forward yield curves for the 3.5- and 5-year U.S. government agencies as we do not believe that it's possible to accurately predict future interest rates, the shape of the yield curve or the new bond issuance behavior of corporations. I'll also remind you that up to 15% to 20% of the investments are subject to reinvestment risk each year. Focusing now on the slide, you will see a summary of the anticipated pretax earnings impact of the extended investment strategy for the client funds investment portfolio of fiscal 2013. We continue to anticipate average client fund balances for fiscal 2013 in the range of $18.8 billion to $19.1 billion, which represents 5% to 7% growth. We also continue to anticipate a yield on the client funds portfolio of 2.2% to 2.3%, down 50 to 60 basis points from fiscal 2012, resulting in an anticipated year-over-year decline in client funds interest of $70 million to $75 million, slightly worse than our prior forecast as anticipated new purchase rates declined from the time we provided our initial guidance in early August. As you can see at the lower right of the chart, in terms of the total pretax impact of the extended investment strategy, we anticipate a decline of $80 million to $85 million for fiscal 2013, which reflects the $5 million deterioration in the client interest forecast. Taking you back to our analyst conference at the end of May, based on futures and forward curves at that time, under the 0%, 5% and 10% balance growth scenarios that we provided, we expected fiscal 2013 to be the largest year-over-year decline in client funds and earnings, out to fiscal 2017. Specifically, under the 5% balance growth scenario, we expected a $70 million to $80 million decline in fiscal 2013. Since the end of May, the 3.5- and 5-year agency forward curves have declined about 30 basis points on average. Combining the impact of current lower expected rates with our balance growth expectation of 5% to 7%, we anticipate a year-over-year decline of $80 million to $85 million so slightly worse due to rates, offset a bit by our balance expectations that fall slightly above the 5% scenario presented in May. Contemplating the current lower forward curves and looking beyond fiscal 2013, we still expect fiscal 2013 to be the bottom of the cycle in terms of the size of the year-over-year decline. Now I'll turn it back to Carlos to take you through the remainder of the forecast for fiscal 2013.
Carlos A. Rodriguez: Thank you, Chris. We're now on Slide 8. Our forecast exclude the results of operations of a business we intend to sell as it is reported within discontinued operations. It is important to note that despite the impact of discontinued operations, we have maintained our fiscal 2013 forecast for total revenues and earnings per share growth. For total ADP, we continue to anticipate total revenue growth of 5% to 7%. We continue to anticipate a decline in the total ADP pretax margin of about 30 basis points. We expect the effective tax rate will be about 30 basis points below fiscal 2012 effective tax rate of 34.5%. We also continue to anticipate 5% to 7% growth in diluted earnings per share compared with $2.72 in fiscal 2012, which excluded the gain on sale of assets in the second quarter of fiscal 2012. As is our normal practice, no further share buybacks are contemplated in the forecast beyond anticipated dilution related to employee equity comp plans, though it is clearly our intent to continue to return excess cash to shareholders depending, obviously, on market conditions. And while we don't provide quarterly guidance, I do want to give you some insights into year-over-year comparisons for the remainder of fiscal 2013 as they are impactful to the second quarter and the full year. Let's turn to Slide 9. We anticipate that foreign exchange rates will negatively impact revenues about 1 percentage point for the year, with about 0.5 percentage point drag anticipated in the second quarter. As a reminder, movement in FX rates is not impactful to pretax earnings. In addition, as Chris just took you through the forecast related to our client funds strategy, the interest revenue piece of this strategy is expected to decline $70 million to $75 million year-over-year. The negative impact from an expected lower average yield on the portfolio due to lower new purchase rates is expected to be a full percentage point drag of -- full percentage point of drag on ADP revenues for the full year and in each of the second through the fourth quarters, mitigated to a very small degree by the anticipated growth in balances. Including the corporate extended interest income and interest expense related to the strategy, we expect a decline of $80 million to $85 million in pretax earnings. This translates to a drag of about 100 basis points on ADP's pretax margins for the year. The negative impact by quarter is anticipated to be about 100 basis points in both the second and third quarters and about 120 basis points in the fourth quarter. Taking it down to EPS. The $80 million to $85 million anticipated decline in pretax earnings equates to a drag of about $0.11 on earnings per share. We anticipate a decline of about $0.03 per share in each of the second through the fourth quarters. Now continuing to Slide 10. Fiscal 2012 acquisitions are forecasted to be earnings neutral in terms of dollars, but we continue to anticipate pressure on the pretax margin in fiscal 2013. For the year, we expect about 20 basis points of negative impact, with 20 basis points negative impact in both the second and the third quarters. Moving to Slide 11. Now lastly, I want to remind you about certain 2012 items that are expected to negatively impact the year-over-year comparisons. The sale of assets during the second quarter of fiscal 2012 and the end of certain employment tax credits within our Tax Credit Services business are expected to pressure revenue and earnings comparisons in fiscal 2013. We anticipate nearly a 0.5 percentage point negative impact on revenue growth for the year, with about 1 percentage point negative impact in the second quarter. This equates to a $0.04 year-over-year decline in earnings per share for these items, with about $0.02 of decline in the second quarter. I also want to point out that in last year's second quarter, there were favorable pretax items totaling between $15 million and $20 million that are onetime in nature that we don't anticipate recurring in this year's second quarter. So the takeaway here is that we expect continued difficult year-over-year earnings and pretax margin comps for the second quarter. Now let's turn to Slide 12 for the segment update. The impacts from the expected drag from fiscal 2012 acquisitions, as well as the negative year-over-year comparisons from the fiscal 2012 second quarter sale of assets and the expiration of certain employment tax credits are reflected in these segment forecast. For Employer Services, we are forecasting revenue growth of 6% to 7%, with pretax margin expansion of at least 50 basis points. We anticipate an increase in our pays per control metric in the U.S. of 2% to 3%. We are forecasting 13% to 14% revenue growth for PEO Services, with flat to slight pretax margin expansion. We are forecasting 8% to 10% growth in annual dollar value of ES and PEO worldwide new business sales from the over $1.2 billion sold in fiscal 2012. And for Dealer Services, we are forecasting 7% to 9% revenue growth, with about 100 basis points in pretax margin expansion. And now turning to Slide 13, I'd like to leave you with some closing remarks before we open it up for questions. Overall, I'm very pleased with our first quarter results. Our key business metrics are strong. Employer Services and PEO Services new business sales and productivity are particularly strong. Dealer Services is performing well and gaining market share. Momentum in the business is good, though I'm somewhat cautious given the uncertain economic landscape here in the U.S. and in Europe. And unfortunately, market interest rates continue to be very low, with little indication of rising near term. But I believe that ADP is well positioned to leverage the opportunities of the large global human capital management marketplace. And we are keenly focused on our 4 strategic pillars for growth, which include cloud-based HCM solutions, market-leading HR BPO solutions, leveraging our global presence and growing and deepening our key adjacencies. Now turning to Slide 14. We're focused on delivering stellar service to our clients and creating an environment that fosters innovation. ADP remains committed to shareholder-friendly actions and returning cash to shareholders through dividends and share repurchases. I'm pleased that ADP continues to be rated AAA by both Standard & Poor's and Moody's, reflecting the strength of our business model and of our balance sheet. And to sum it up, I believe we're doing the right things to grow the business and to enhance long-term shareholder value. And now I'll turn it over to the operator to take your questions.
Operator: [Operator Instructions] We will take our first question from the line of David Togut with Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Congratulations on your retirement, Chris. Very strong new business sales growth, 15% for ES and PEO. Can you give us more detail by small, major and national accounts and maybe some insights into how some of the newer products you're doing, particularly Vantage HCM at the high end?
Carlos A. Rodriguez: Sure. We really -- in all of our core markets, we had good growth. It was particularly strong in national accounts, and there, we did have an easier comparison. In small business, we had also very good results, which are consistent with what we've been seeing for a while now. In major accounts, we had solid results there as well. So I think it's somewhat reflective of, I think, the underlying product portfolio still generating good traction in the marketplace and our sales organization still being excited about the new product offering. I want to caution you that the strong sales in national accounts, just keep in mind that there is relatively long lag between when a sale takes place in national accounts and when it actually starts. And I think the other caveat there is that although Vantage sales are quite positive in the last quarter, still relatively small in terms of total dollars on our sales number, as well as relatively small impact on revenue given the lag for those also large accounts to start. But overall, you're on the right issue, which is our sales results were quite positive. It's been a while since we've had 4 consecutive quarters of double-digit sales growth. And I couldn't be more pleased with that because that bodes well for our future revenue growth.
David Togut - Evercore Partners Inc., Research Division: Carlos, can you give us a little more granularity on Vantage HCM sales? You have a very effective competitor in the national accounts segment in sort of cloud and SaaS-based offerings. Can you give us some more -- I guess, some more details around bookings and how you're doing in head-to-head competition with Vantage HCM?
Carlos A. Rodriguez: Yes. We have -- we obviously have a number of competitors, and our differentiation with some of the pure-play cloud competitors is really our service capabilities. And I think we're still effectively differentiating ourselves with now a better technology solution, which is more user-friendly and has better -- we actually -- it's a unified database in terms of across modules, so it's really not even an integrated offering. So we're quite pleased with the technology backdrop, but we're also very happy that we continue to differentiate ourselves and win business in the marketplace based on our ability to deliver service in addition to the technology. In terms of the numbers, I don't know that it would be appropriate for us to give specific numbers, but I would just say that we were very pleased and I would say that the results in the quarter were quite good and in an accelerating path in terms of numbers of new business sales. I think the last call, we told you we had a dozen or less. I would say we have over 3x that now. And I think that's probably as much as we would like to say there, and we probably won't say much going forward either because we don't really break out our sales results by individual products.
Christopher R. Reidy: It will show up in the results eventually, but again, it has a lag because of maybe the size and the timing of implementation.
Operator: Your next question comes from line of Paul Thomas from Goldman Sachs.
Paul B. Thomas - Goldman Sachs Group Inc., Research Division: Question, I guess continuing on the strong new sales start to the year, you talked about some macro concerns, of course, but it doesn't seem to be slowing new sales yet. Is the expectation that we're not going to see much change until the second half of the year or are there some signs of deceleration already? Or how should we be thinking about new sales progression through the year?
Carlos A. Rodriguez: Paul, I think that -- the concern I have is a concern I think everyone has, which is the uncertainty in the economy as a result of the election and then the so-called fiscal cliff. And so what we have seen historically is that when concerns emerge in the economy or when the economy actually starts to slow, our sales results do get negatively impacted if people throw off decisions or don't make decisions. As you just pointed out, through this last quarter, we have not seen any signs of that happening yet. But I think we are appropriately cautious because of, obviously, what's going on in terms of the fiscal situation and the uncertainty in the marketplace regarding tax policy and other items as well. But we are not seeing it yet in our sales results, and obviously, we will -- if and when we do see weakening, we would share that with all of you.
Operator: Your next question comes from line of David Grossman with Stifel, Nicolaus.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: I'm wondering, you've had, obviously, some strong renovations and new product offerings. You've made some acquisitions in adjacent markets. Can you share with us any metrics or trends perhaps in revenue per client or perhaps profitability per client given the exchanges?
Carlos A. Rodriguez: I think the trend -- the number that I think is the most interesting for us besides the absolute sales results, is the attach rates in both national accounts and major accounts of multi-modules, because we are trying to become more of a full suite human capital management solutions company in addition to just selling payroll. And so one of the things that our new products are allowing us to do is to really provide solutions across HR, payroll, benefits, time and attendance in a kind of a seamless technology solution. But obviously, those are also sold separately, so it doesn't necessarily mean that people will buy all of those modules. But we are actually pleased with how many multi-modules are being purchased in both Workforce Now, which is our new solution in major accounts, and also in Vantage in national accounts. So those attach rates are much higher in percentage turns. In other words, the number of clients buying more than one solution at a time is much higher than it has been historically in both of those businesses. And that, obviously, drives higher revenue per client, and it's -- obviously creates an opportunity for us to further differentiate ourselves and create additional stickiness with the clients given that we have other aspects of the human capital management strategy that we're providing to them.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: So should we expect that to be a margin driver as well, then, Carlos?
Carlos A. Rodriguez: I think that's fair because, for sure, that there is some sales efficiency that we gain, and we do have sales cost as a decent part of our overall cost structure, I think that providing service in a multi-module environment is different than when -- how we were doing it before. So we are kind of retooling and reequipping our folks to be able to deliver service in a seamless fashion. In other words, when a client calls in to ask a question, they can go to 1 team to be able to get the answers to their questions rather than having to go to 4 different departments or 4 different units within ADP. So that requires some investment up front, which is what we're doing now, to have kind of a seamless unified service experience in addition to our unified technology. But I think medium and longer term, I think both on the sales side and on the operating cost side, I do think that higher attach rates of multi-module and higher revenue per client should really generate improved margins for us.
Operator: Your next question comes from the line of Gary Bisbee with Barclays Capital.
Gary E. Bisbee - Barclays Capital, Research Division: My first question has to do with your view on IBM's acquisition of Kenexa. How do you think this might affect or compete with your current HR services offerings?
Carlos A. Rodriguez: I think that there have been a number of transactions, as you know, so SuccessFactors and Taleo also were acquired by other providers. And so Kenexa is just kind of the latest in a number of consolidations taking place, and we've done a couple of acquisitions ourselves. We compete with Kenexa in our applicant tracking services business, as well as in some of our talent management businesses. But we don't anticipate a huge change, at least not in the short- and medium-term, and I guess we'll just have to wait and see. We don't -- we haven't seen really any major changes or disruptions to our sales force as a result of that transaction.
Gary E. Bisbee - Barclays Capital, Research Division: Great. And just switching gears back to the macro environment. So over the past couple of quarters, we've seen some moderate jobs growth and choppy at best, including today's number from ADP. And I was wondering if there is a straightforward way of deducing how quickly jobs growth feeds into your revenue stream and specifically, what kind of threshold does national employment growth have to get to, to really move the needle in either Employment Services alone or the business in general?
Carlos A. Rodriguez: The metric that really that we've disclosed and we talked about in the call this morning, is really what we call same-store pays per control, and the dollar impact on revenue for each 1 percentage point increase in pays per control is $20 million. So that gives you -- and that's pretty much close to 100% margins, goes straight to the bottom line. Even though there's some additional expense related to serving additional employees at client site, it's a very margin-rich type of revenue. So we disclose that, we track it very carefully. And again, our business is going to be obviously reflective of what's going on in the economy at large. But we, for example, have less exposure to public sector, which has been a very hard-hit sector when it comes to employment over the last 2 or 3 years. So our set of clients is slightly different from the overall economy but obviously, also overall reflective of the economy. But that 3% to 3.3% pays per control growth that we are now experiencing does help us. And it creates wind at our back, and it's clearly helping us to the tune of $20 million per 1 percentage point.
Operator: Your next question comes from line of Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: In your prepared remarks, you talked about your confidence in retention still being up this year despite the fact that it was down a bit in the first quarter. I'm just wondering what gives you that confidence. What indicators are you looking at?
Carlos A. Rodriguez: Actually, the follow through of the call from last quarter where we experienced a couple of losses in the fourth quarter in our national accounts base -- and I think we also had notifications of another couple of losses that actually affected our retention rate in the first quarter so I think we talked about it in our fourth quarter call -- I know it was a while ago, but we were aware of these losses. Losses in our national accounts base are lumpy, if that is a -- it's not a scientific term, but they do go up and down, and we have decent amount of visibility into the future regarding losses in our national accounts base. And given that, that was where we experienced the decline in the first quarter and given the visibility that we have, we're very confident on a go-forward basis that we can deliver our forecast. Obviously, if the economy would change or other things, external factors could impact that, but we had good retention in our other businesses outside of national accounts in the first quarter.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, that's great to hear. And then just a couple of numbers-related questions. If you can give us what capital spending was in the quarter, what you think it might be for the year, and also, what you think the depreciation and amortization will be for the year as well.
Carlos A. Rodriguez: Wow, that's specific. We never got that question before. In the -- let's see. In the quarter, we had -- it was -- capital for the quarter was $32 million, $30-ish kind of million. And last year, for the full year, we had about $150 million. We expect to be slightly higher than that but not much, so kind of in that range. And I don't think we've gone into depreciation and amortization, but that doesn't change too much. Wouldn't expect it to change too much year-over-year.
Operator: Your next question comes from line of Jim Macdonald with First Analysis.
James Macdonald - First Analysis Securities Corporation, Research Division: Question, just quickly, can you say anything about the business you divested, what area it was in?
Carlos A. Rodriguez: Unfortunately, we're right at the -- in the tail-end of negotiations on that, so we can't. But I think we -- what we disclosed -- or I believe we were disclosing is that it's around $50 million in revenues -- in annualized revenues. So it's a relatively small business that I think it'll become clear that even though we entered the business with expectations, it doesn't really fit incredibly well into the existing portfolio. And that's the reason for the divestitures -- really just trying to focus in more on the HCM space.
James Macdonald - First Analysis Securities Corporation, Research Division: And can you talk a little bit about health care going into 2013, calendar 2013, as some of the changes start to kick in here? And how do you think that'll affect your -- specifically your PEO sales?
Carlos A. Rodriguez: Well, I'm going to have a lot more detail on that after next week. I'm actually spending a day with our PEO folks in TotalSource to get into a lot more detail. Right now, our sales are actually doing quite well in PEO. So because there's a lot of discussion about health care, I think that, that creates opportunities for our sales force, because inertia's a powerful force, and now everyone's thinking about what the impact of health care is going to be both in small companies and medium companies and also large companies. We believe that we have a unique value proposition in the PEO as being a "large employer" if you will, and providing health insurance to small companies on an aggregated group basis. And so we think we're going to still be able to maintain our differentiation and the competitive advantage. But also obviously watching all of the implementations and all the regulations, because even though legislation is passed and has been upheld by Supreme Court, there is a lot of rulemaking still going on in the background by various government agencies. And so we so far have not seen anything that leads us to believe that we're not going to be able to continue to be successful in the PEO space. And we also have a national accounts business that does benefit administration, including COBRA, FSA administration, health and wealth administration, open enrollment, et cetera. We believe that they're -- because, again, of all the uncertainty and all the questions and all the changes that we will have opportunity to help our clients. In other words, providing them solutions to get through the changes and deal with the changes and staying compliant. There's going to be a lot of compliance requirements as a result of all these legislative changes. And the solutions and products we have in national accounts, as well as ones we have in the PEO, are really designed to help clients navigate those waters and get through all of that regulation.
Operator: Your next question comes from the line of Ashish Sabadra with Deutsche Bank.
Ashish Sabadra - Deutsche Bank AG, Research Division: I had a quick question regarding the solid sales growth. Is that driven off share gains from your regional or national competitor, or is this mostly in-house or from smaller CPA moving over to ADP?
Carlos A. Rodriguez: I think that we believe, again, across our markets that we are gaining market share. When you look at the number of the client -- the actual client unit growth, we mentioned earlier that we're also getting higher revenue per client in both our Workforce Now and Vantage products, but when you look at our overall client count, it is growing faster than the overall market, which leads us to believe that we are gaining market share.
Ashish Sabadra - Deutsche Bank AG, Research Division: Okay. And in terms of pricing, how's the pricing trending? Any color there?
Carlos A. Rodriguez: Not really, no news to report other than business as usual. We -- our price increases last year, I think, was in the same neighborhood of, I think, 1% net. And I think that market environment from a sales standpoint in terms of sales, I think discounting and other aspects of our pricing, I think remain pretty stable. We haven't heard anything different.
Ashish Sabadra - Deutsche Bank AG, Research Division: Okay. And one final question, and this is in regards to your cloud solution. Is there any kind of a risk that the cloud solution -- as the cloud solution gets more traction, that could cannibalize your full service offerings, like especially as Vantage gets a lot more traction in the marketplace? And how do you think about that versus ability to sell on newer or additional modules? So the risk of cannibalization versus the ability to sell on additional modules?
Carlos A. Rodriguez: That's a great question. Just to be clear, to start off, I want to say that our cloud-based solutions are full service as well. And I can tell you that after 60 or more years in business at ADP, we've done a lot of cannibalization in order to be here today. And so we plan -- have every intention to, over time, move our clients to our new solutions. And they are -- the new solutions are full service as well. We believe that pricing and margins are at least the same, if not better in our new solutions. We believe that we can sell more modules by being broader with an ACM solution in addition to just being payroll. So we don't see this cloud opportunity as a negative at all. We've been selling cloud solutions for almost a decade now, and we wrap service around them. We wrap tax filings, we wrap open enrollment call centers. We do a lot of things that are beyond just the pure technology. And that's really our differentiator, and it works very well for us. And we're going to continue to do that. And that absolutely is going to lead to cannibalization, and we don't see add that at all as a negative.
Operator: Your next question comes from line of Jason Kupferberg with Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Just wanted to ask a question on the interest in client funds as you start looking out to next year. I know you guys had said at the analyst meeting that in fiscal '14, we would see a year-over-year decline in interest on client funds, and I know you're still saying that the trough will be in fiscal '13. But the magnitude of the projected decline in fiscal '14, is that now a bigger order of latitude than what you were expecting at the time of the analyst meeting, just given the move and the forward curves? And is there any way you can help us quantify that?
Carlos A. Rodriguez: Yes. And I tried to give you some of that color in my remarks. But as we look out at '14, and not from a guidance standpoint but just as a way to think about it, we still see it being less of a drag than it is this year. And because of the year-over-year compare, it's not -- it hasn't moved much from what we disclosed to you back in May.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Okay, okay, understood. And then any color you can give us -- and I apologize if I missed this earlier -- but in Europe, specifically, trends in new sales and pays per control and retention?
Carlos A. Rodriguez: Pays per control were slightly down and actually have been pretty consistent. So it's not dropping like a rock, it's been a little less than a -- a little better than 1% negative. So 0.7%, if you will, negative pays per control. I think it's been there for several months now.
Christopher R. Reidy: Right in line with what we expected.
Carlos A. Rodriguez: Yes, in line with what we expected. Our sales have been soft, but, frankly, has also held up relatively well. So I'm quite proud of our sales organization there, in the face of what's, obviously, a very difficult situation. But we do have revenue growth -- positive revenue growth, it's kind of low single digits in Europe and -- purely just in Europe. But our overall international business, under the circumstance, is holding up quite well. We obviously are seeing -- or you're reading about slowdowns in some of the emerging markets, but our Brazilian business continues to grow very, very well. They've had very strong sales results. So I think, all in all, I'd have to say that we're quite pleased under the circumstances with what's happening in our international business, specifically in Europe.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: And just lastly for me, as you think about, again, just directionally for next year, understanding that it's way too early to give formal guidance, but should ADP, as a whole, be back to overall corporate level of pretax margin expansion next year? Again, understanding that the float income is going to be down year-over-year.
Carlos A. Rodriguez: Listen, it's a fair question. The headwinds we've had from interest rates have been, obviously, very prolonged, and it's getting really frustrating for a lot of us. But it's a significant headwind. I think it's important to note that we have significant margin expansion this quarter and this year when we strip out interest income. And we have to be careful about stripping it out, because it is part of our business. So we get that, but for you to understand what's going on in the underlying business segments and the health of the business, it is important to strip out. And when you do that, the businesses are performing quite well in having really good margin expansion. And we have a couple of those comparison issues in the first and second quarter that we talked about that also aren't helping from a comparison standpoint. But those will abate in the second half of the year, and it will be even more obvious that we're driving very, very strong underlying margin improvement in this business despite the headwinds from interest. It's way too early for us to say anything about next year, because we just don't have the -- this is not the appropriate time for us to be talking about what's going to happen in interest rates. We have to wait quite a while to really know exactly what has happened in terms of market interest rate to give you a clear guidance on how much that headwind will be next year. At this point today, as Chris just said, we do expect it to be less of a headwind in '14 than it was in '13. But it's way to early for us to be able to give you any kind of sense of how much we have to overcome and then what the underlying margin improvement will be. But we are exactly driving towards -- as rates bottom, returning to our kind of historic, if you will, margin improvement ability that we have.
Operator: Your next question comes from line of Joe Foresi with Janney.
Jeffrey Rossetti - Janney Montgomery Scott LLC, Research Division: This is Jeff Rossetti. Just wanted to see -- I believe you mentioned on the question back about the share gain. You highlighted Workforce Now and Vantage. Just wanted to see if that also -- if you were also seeing that on the small business side?
Carlos A. Rodriguez: Actually, I don't think -- I may have highlighted them as doing well in terms of sales results, but when we talk about client count, we talk about client counts across all of our segments. So when I talk about market share, I'm talking about total client count, which includes also our Small Business Services division. So all 3 of those combined are growing faster than the market, and we are gaining market share. I -- if I was speaking about any specific product, I -- that's unintentional.
Christopher R. Reidy: Yes, the client growth in our Small Business is particularly strong.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: And then just any kind of thoughts about the acquisition environment, what you're seeing out there?
Carlos A. Rodriguez: We continue to look at opportunities in the marketplace. I think that we have a pipeline of things that we're looking at. I think nothing different from what we've been communicating in the past, in terms of the things we're looking for, which are tuck-in acquisitions that fit into our existing businesses. We probably have a couple of opportunities to round out our HCM portfolio. But we're actually quite pleased today with what we have, and we're very focused, as you can tell, on just driving additional new business sales to our distribution system of what we are -- currently have in place. But there are still things out there that we are interested in that we are looking at.
Operator: Your next question comes from line of Sara Gubins with Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: You mentioned in your prepared remarks that GlobalView was strong. Could you give us some more color there about what you're seeing? And any metrics that you could provide?
Carlos A. Rodriguez: Other than it was strong, that's another business in addition to national. It's actually more than -- more true in GlobalView than in national accounts because the business is quite lumpy. So when the sales come in, and how they compare to the previous year are -- I think, are important. But nevertheless, we're pleased. So we had a good quarter, we had good sales, but I don't know that we can say nothing more other than we had a good quarter. I wish there were some underlying trend that I could point to, but I think it's somewhat of the -- related to the nature of the business, which is the lumpiness.
Sara Gubins - BofA Merrill Lynch, Research Division: I could be off, but I seem to remember that you're expecting to reach profitability for GlobalView this fiscal year. Is that right, and is that still the case?
Christopher R. Reidy: Well, what we said was it would be breakeven in the next fiscal year, but we do expect to start to go positive in the second half of this fiscal year, but not positive for the full year this fiscal year.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay, and then just last one. Is there anything that's worth putting out around how U.S. fundamentals trended over the course of the quarter and in the earlier part of this past month?
Carlos A. Rodriguez: Sorry, what fundamentals?
Sara Gubins - BofA Merrill Lynch, Research Division: Just fundamentals in the U.S., I'm wondering if there's anything that you thought looks particularly interesting about how things trended over the last 3.5 months or so?
Carlos A. Rodriguez: Well, I mean, again I -- just to reiterate what we've already said, I think our pays per control was strong, and we're very pleased with that. Our retention results, when you peel behind -- peel back the onion, I think we're also -- we're satisfied because of what we saw in our small and midsized business segments and across some of our other businesses. Sales were strong. I think our revenue growth was in line with what we expected. So again, I know there's a lot of noise in the economy, and we have this fiscal cliff that we're all facing and a lot of uncertainty, but our ongoing fundamentals really held up and were in line with our expectations.
Operator: Your next question comes from the line of Mark Marcon with R.W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: I was wondering if you could talk just a little bit more about the client retention trends. It sounds like it's primarily in nationals that you're seeing a little bit of a lumpiness. Is it normal for it to occur around this time of the year? When would it typically be most pronounced, in terms of client decisions?
Carlos A. Rodriguez: Well, remember, the -- from an impact standpoint, we're -- these are -- also, we're talking about comparisons. So I don't think anything's changed in terms of the seasonality of when losses take place in our international accounts business. So there's no change in terms of what we're seeing, in terms of behavior of clients or otherwise. I think that when you look at being at 91% -- I think we were close to 91% retention for the year last year, and also that was close to what the retention was the previous year, that -- those are -- the previous year was a historic high, and last year was 10 basis points off of that historic high. And so we clearly are planning and are working towards continuing improving our client retention, and we believe our new products and some of the things we're doing on the quality side should drive better retention. But when you get to these levels of retention, it does -- the laws of large numbers make it difficult, particularly in places like our Small Business segment, which by the way, has had good improvements there as well. But they have a natural amount of attrition, just because of companies going out of business and just dropping out of the system, because we count everything in our losses and in our client retention. And so having said that, that's maybe a long-winded way of saying that we are -- I'm very proud of the organization in terms of where we are, retention-wise, and we'll continue to push to try to get better. But it does get hard at the levels that we're at now.
Christopher R. Reidy: I would also just point out, Mark, that the first quarter is not a huge driver of attention for the year. And usually, our third quarter is what drives the full year a little bit more, with the -- end of calendar year change, et cetera. So it's right in line with expectations, and no surprises there. And as we said, we do expect it to tick up for the year.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: And Carlos, it's higher, obviously, in nationals. Can you give us a sense for what that level is? And also, how was the communication strategy going with regards to the significant improvements that you've made, particularly in terms of Vantage and potentially getting people transition to the new platforms?
Carlos A. Rodriguez: Sure. I think in terms of the retention -- with retention rates, in national accounts, they do approach the mid-90s, which is quite impressive. And by the way, in GlobalView, it's in the high 90s. So we -- and you really -- when you think about that, those clients are staying, on average, 20 years with us, so it's quite impressive. As you go down in the major accounts, obviously, low 90s, and then, when you get into Small Business, low 80s. But those are all very broad numbers, obviously. We're talking about tens of basis points here as we measure the results. So you can just see just how easy it is to move the needle from one year or the other from quarter-to-quarter. But we're quite happy with the overall retention results. On the question about transitioning clients, we have not transitioned, I believe -- I think we may have 1 or 2 clients that we are piloting in terms of transition over to Vantage. But we are trying to use our implementation capacity to gain new share and to sell new business as much as possible. We are, obviously, now developing plans to be able to migrate clients as well, because we are getting demand, obviously, from our existing clients that they want to move over to our newest technologies. But we want to do that obviously in a thoughtful way, precisely because of this conversation. We don't want to negatively impact client retention. As an example, in our Workforce Now solutions, we have been transitioning clients over to our new Workforce Now solutions. And frankly, the retention rate of the clients that have been transitioned is actually higher than what the retention rate was of those clients before they -- when they were on their old -- the older platforms that we had. So I think that's a testament to our associates who are doing an excellent job of transitioning those clients in a positive way, so that they get all the positive things of the new platforms without any of the negative consequences that sometimes transitions bring with them. So I'm very optimistic that our transitions will actually help our retention in that hurdle.
Operator: Your next question comes from line of Timothy McHugh with William Blair.
Timothy McHugh - William Blair & Company L.L.C., Research Division: I was wondering if you guys can give a quick update on your hiring expectations for the next year, especially that relates to the sales force? I think it was up 6% last year. And I think you may have previously mentioned that you expected to go 4% to 5% this year. So how do you progress towards that this quarter, and if that's changed at all?
Carlos A. Rodriguez: I think it's in that range, around 4%. And I think that's what we are hoping to do for the year, 4% to 5%. I think what we're trying to get to is double-digit sales growth, and we're trying to get there half through headcount growth and half through productivity improvements. And again, the last year was remarkable in terms of the productivity improvement we had. And some of that continued into the first quarter. And I sure hope that continues into the future, because it's a huge leverage point for us from a margin standpoint.
Operator: Your next question comes from the line of Michael Baker with Raymond James.
Michael J. Baker - Raymond James & Associates, Inc., Research Division: Follow-up on the question around health care particularly as we looked to 2014. We have some of the health insurers out indicating that they expect the potential for some employers with less than 10 employees to kind of push employees off on to the exchange. And I was wondering, as it relates to your PEO business, whether you sense a similar risk or is it just simply, at this point, too early? And if you do, if you could give us just some general sense of what that would potentially mean in terms of percentage of the PEO book? And then with any dynamic like this, I know there are other potential tailwinds, so I was wondering if you could point to any of those as well?
Carlos A. Rodriguez: Sure. PEO is relatively unique in the sense that our average client size -- I used to know this off the top of my head when I ran that business -- I think it's in the 20s. So that, I think, is reflective of a typically larger average-sized client than in a typical PEO. We do have clients that are under 10 but I can tell you that our sales policies and our sales training and our efforts are aimed at clients over 10. And it's been that way for over decades. So it's not as a result of the changes in health care. We just believe that once clients are under 10, the risk profiles from both the health care and the Workers' Compensation standpoint are not as attractive. So we naturally gravitate towards clients that are larger than 10 employees, but we do have, obviously, some clients that are under 10 employees. And so we're, obviously, watching that and monitoring, as I said earlier. And get a full deep reef next week, when I'm with the folks from TotalSource, just try to understand that better. But I think we're in a pretty good position just because of the types of clients that we sell to and the average type client that we have in the PEO. And I think you have another question, I apologize, I...
Michael J. Baker - Raymond James & Associates, Inc., Research Division: Yes, it's just a sense of any time you get this type of change there's -- always present some headwinds but also some tailwinds. And I was wondering, based upon what you know now, what other aspects of the business you might see a positive pickup in?
Carlos A. Rodriguez: Well, it's a great question, because I'm fond of saying that ADP has been really benefiting from government regulation and compliance requirements and that tailwind for decades. So each time new regulation come up -- again, as a full-service provider in addition to just providing the technology -- we help clients with compliance. It's part of what we sell. And so you look at our set of HCM system solutions today, the likes of COBRA, FSA, now we're going to have the same sorts of situation in health care, where in addition to just helping people manage operationally their benefits plans, they're going to be -- serious compliance requirements that you're going to need to have someone's help with. You're going to have to have a time and attendance system to track who's part time and who's not part time. You're going to have to send out eligibility notices, telling people when they're eligible for health care, otherwise you'll get fined. And so all these things are significant tailwind to us and creates significant opportunities for us to go out and take advantage of and exploit. And that's what we're in the process of doing, building solutions and capabilities to help our clients get through these new requirements.
Operator: Your next question comes from line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: I just want to start with my best wishes to you. I always enjoyed working with you.
Christopher R. Reidy: Thanks, Tien-Tsin. Thank you.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Certainly. Good luck to you. I guess just two quick ones. Just new sales obviously saw and there were a lot of questions about that, but any change in client desire to outsource more than before? Or is it really more just clients looking to be smarter -- existing clients being smart about some of their resources and pushing more to ADP?
Carlos A. Rodriguez: We've been -- every time we do our strategic plan, we visit this issue of how many people are using outsources versus how many people are doing in-house versus how many people use software. And there have been some changes depending on which market segment you look at with, for example, in-house declining, with software and outsourcing going up in small business. But in our larger space, the major accounts, the national accounts, those numbers have stayed relatively constant. So I think people do make a decision around whether or not they want to outsource, or they want to use software, or whether they want to be in-house. And they tend to stick with that. And so our job is, obviously, trying to convince people who are not outsourcing to become outsourcers but also to win as much market share in the space where people are willing to outsource. And we just haven't seen huge changes in those numbers over the last 5 to 10 years, other than in small business with some migration from do-it-yourself or in-house to using software and also using outsourcers.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Right. So as a follow-up to that last point, thinking about the more self-service guys, like in Intuit and others, any thought on developing more assets that are geared towards the self-service side? And in addition, how about the indirect channel working more with banks and others to reach that market in this time of need for small businesses?
Carlos A. Rodriguez: We have a very -- just for the record, we have a very robust and direct channel with banks and also with the CPAs. In fact, banks are very large part of our distribution. And we have do-it-yourself products that we provide to the banks which they private label, which -- with really us doing the processing in the background, which helps us take a lot of that segment of the market, that market share of the do-it-yourself providers. And so we actually have a couple of those relationships in the hopper right now, with banks that we're trying to provide them a do-it-yourself solution managed by us and provided by us as part of an overall solution to their small business clients. So I think we do compete in that space, but obviously, our strength is really in the outsourcing segment. But we do continue to look at that do-it-yourself market, and we, for now, have a tact at really using our bank partnerships.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Right. So do you foresee, Carlos, with the step-up and emphasis there in terms of investment to expand that? Or is it -- are you pretty happy with the go-to-market today?
Carlos A. Rodriguez: Well, given the Intuit, I think -- is constantly thinking about our outsourcing market, we're constantly thinking about their do-it-yourself market. But having said that, when -- again, when we look of our strat plans and we look at the revenue per client that you generate on a do-it-yourself, pure software solution, a desktop or cloud, and you compare that to the revenue per client of an outsourced solution full service, it's really hard for us to really drive a lot of investment, a lot of attention to the do-it-yourself market, because we would have to sell really millions of additional clients to equate the same revenue that we get from selling in the outsourced market. So it's an attractive market, because it has a large number of units, the revenue per unit is quite low. But it's still obviously an opportunity, potentially to also upgrade and migrate clients upwards, so we're always looking at all those dynamics in that do-it-yourself market.
Operator: Your final question comes from line of James Friedman with SIG.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: Carlos, I was wondering, and you'd addressed this to some extent on the call, but I was wondering, such a dynamic time for the company and for the industry. What sort of resources are you putting towards both training the sales force, because they seem to have so much in their toolkit now, and also, training the customer as to the new opportunities and solutions in the market?
Carlos A. Rodriguez: Those are incredibly insightful questions. And so as we become more of a full-service HCM provider, we spend a lot of time talking about what we need to do to give our sales force the right tools to be able to help our clients identify what we can do to help them improve their business, as well as reduce their total cost of ownership. So I think we're investing more in sales. We've had a number of we call them kind of certifications, if you will. But basically, attempts to get people additional information, whether it's around benefits or talent management, or other parts of HCM. So we put them through training and then we give them tests and then we give them certifications, basically, a seal of approval that you now have the ability to go sell a broader suite of services beyond just the simple payroll. So we are investing more in sales training. I think your point about the clients is also very valid. The good news is even though our products are new, and we have multi-modules, they're much easier to use, they're much more intuitive than part of the improvements and upgrades in our products in all 3 segments, in the RUN, in the Workforce Now and in the Vantage. So I think more intuitive and easier-to-use products require less training and less support, frankly. So it doesn't mean that you don't have to have a change of management, and we are doing a lot of that, obviously, as we roll out new products. But I'm very confident that positives way outweigh the negatives in the transition to the new client -- I'm sorry, to the new products. So I appreciate -- I want to give Chris -- I know that a lot of you had long relationships and good relationships with Chris. So I think it's appropriate to give Chris a second maybe to give you some thoughts.
Christopher R. Reidy: Thanks, Carlos. And I do want to start out by thanking you all for year well wishes. Really, very extremely proud of the accomplishments we've had here in the past 6 years. And I think you would all agree that the company is positioned better than ever to take advantages of the opportunities in front of it. I think we clearly articulated who we are as a company, and then we executed against that vision. We focused on our core businesses. We've emphasized top and bottom line growth, coupled with strong dividend payout ratio. I'll remind you that it was only 45% back in '07. So we've increased that steadily over the past 6 years. And we couple that with consistent, reliable share buybacks and acquisitions that enhanced our HCM offerings. I think we navigated the economic downturn extremely well. We said we'd continue to invest in product sales and service. And I think we delivered on that commitment. In this downturn and throughout this downturn, we introduced many great new products that we're now talking about, including RUN, Workforce Now and Vantage. And they're redefining the HCM market. Our investment in sales is clearly evident in our results, and our investments in services has had all-time highs and retention. So I think our clients have seen the benefits of these efforts. I know our competitors have noticed, and I think our investors and all of you have noticed as well. We've tried to increase the visibility that we provided all of you and the transparency that we have provided all of you and the details of our business. I know I'll miss the deep dives on the portfolio, on our laddering strategy and the impact of interest rates. And I'm sure you'll miss my deep dives. I'm sure Jan will go through those as well. As I've said, I think ADP's in the best position that it's ever been. Carlos has a year under his belt. So it feels like no better time to take on my next career challenge. I really appreciate ADP for giving me the first large public company CFO role, and it's been fun. So thanks very much.
Carlos A. Rodriguez: I just want to thank Chris one more time. It's really been a remarkable 6 years when you think about going through the most difficult downturn that I'm sure any of us will ever see. And Chris' part in helping us navigate through that is greatly appreciated. I also want to acknowledge that Chris leaves us with an incredibly strong and talented finance organization which he's helped to build over the last several years, so we appreciate that. And just in closing, just want to reiterate again that we were very pleased with our first quarter results. As you can tell from the tone of our comments, I think our businesses are performing very well. Unfortunately, we continue to experience this headwind from interest rates, and there were some noise in the first and will be in the second quarter with some items. But I think the underlying trends in the business segments is quite positive. Chris just mentioned the dividend. We continue to be, I think, focused on being shareholder friendly both in terms of dividends and on share repurchases. And the last comment I'll make is we're going to continue to focus on growing the business and enhancing shareholder value. We look forward to talking to you in the next quarter. And again, to all of those who are impacted by the hurricane, our best wishes for a speedy recovery. Thank you, again, for joining us today.
Operator: This does conclude today's conference call. You may now disconnect.